Operator: Hello, ladies and gentlemen. Thank you for standing by for RLX Technology, Incorporate’s Second Quarter 2022 Earnings Conference Call. At this time, all participants are in listen-only mode. After management’s remarks there will be a question and answer session. Today's conference call is being recorded and is expected to last for about 40 minutes.  I will now turn the call over to your host, Mr. Sam Tsang, Head of Investor Relations for the company. Please go ahead, Sam.
Sam Tsang : Thank you very much. Hello, everyone, and welcome to RLX Technologies’ Second Quarter 2022 Earnings Conference Call. The company's financial and operational results were released through PR newswire services earlier today and have been made available online. You can also view the earnings press release by visiting the IR section of our website at ir.relxtech.com. Participants on today's call will include our CEO, Ms. Kate Wang; our CFO, Mr. Chao Lu; and myself, Sam Tsang. Before we continue, please note that today's discussions will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These statements typically contain words such as may, will, expect, target, estimate, intend, believe, potential, continue or other similar expressions. Forward-looking statements involve inherent risk and uncertainties. The accuracy of these statements may be impacted by a number of business risks and uncertainties that could cause actual results to differ materially from those projected or anticipated, many of which factors are beyond our control. The company, its affiliates, advisors and representatives do not undertake any obligations to update these forward-looking information except as required by applicable law. Please note that RLX Technology's earnings press release and this conference call include discussions of unaudited GAAP financial measures, as well as unaudited non-GAAP financial measures. RLX press release contains a reconciliation of the unaudited non-GAAP measures to the unaudited GAAP measures. I will now turn over the call over to Kate. Please go ahead.
Kate Wang : Thank you, Sam, and thanks to everyone for making time to join our earnings conference call today. I am pleased with the healthy financial performance we delivered in the second quarter as we proactively continued to adapt to the new regulatory framework. We remain focused on enhancing the full range of our capabilities from scientific research, product development to manufacturing advancements and operation optimization, all of which empowered us to navigate the highly dynamic markets and the evolving regulatory landscape.  Amid strong macro headwinds and weak consumer sentiment, our solid second quarter results underscored the resilience of our defensive business model and our commitment to building and strengthening our brand's trustworthiness. People are taking a closer look at business updates. I would like to start with a brief recap of the milestone regulatory developments in our industry. Beginning in the first quarter of 2022, the relevant government authorities in China have issued a series of implementation rules and guiding opinions to strengthen oversight of e-cigarette products and regulate the e-cigarette industry including the administrative measures for e-cigarettes that come into effect in May and the new national standard that will become effective on October 1, 2022.  Now let me share our progress on our relevant license applications as required by the administration measures. To-date, two of our subsidiaries have obtained the license for manufacturing enterprise from the State Tobacco Monopoly Administration, STMA to conduct manufacturing activities under the regulatory guidance. Specifically, one is approved to manufacture e-liquids and the other is approved to own the RELX brand and manufacture RELX branded e-vapor rechargeable devices, cartridge products and other relevant products. Obtaining these licenses marked on an important milestone in our strategic roadmap as we actively embrace the new paradigm with prompt regulatory compliance.  We believe our solid fundamentals, industry-leading research and development capabilities and seasoned teams will assist further in our mission to achieve full regulatory compliance for our operation according to schedule.  To build on this progress, we have redoubled our efforts to develop new products that need their applicable requirements while fulfilling users’ demands. Some of our new products were among the first statured products in the industry to obtain approvals under the new national standards, a powerful validation of our industry-leading R&D capabilities.  We look forward to bringing the approved product to market [Indiscernible] and are confident that our product's quality, performance and safety will continue to be dominant well with our users. Currently, we have several additional newly developed products in the process of technical review and many more in the application pipeline.  In the future, we will remain committed to fulfilling our users' demands for safe, high-quality products in strict compliance with regulations while exploring new growth opportunities in the industry. In particular, we firmly believe that R&D is a key to our success and sustainable future growth. It is R&D that has enabled us to quickly roll out compliant new products and maintain our brand's competitive edge. Here are set of metrics tracking our R&D spending. Our non-GAAP R&D expense ratio has increased from 1.5% in 2018 to 3.6% in the first half of 2022 and it is expected to further increase in the coming years.  Beyond product R&D, we are also dedicated to fundamental scientific research to protect our users' health, working relentlessly to better understand and minimize the health risks of [Indiscernible] e-vapor products. That ends in addition to roaming our own scientific labs, we have partnered with various leading research institutions, including ten universities, two hospitals and several independent academic research houses to conduct related research and development, building a firm foundation for ongoing product development and innovation. Furthermore, in the second quarter, we collaborated with Shenzhen Institutions of Advanced Technology, Chinese Academy of Scientists on an e-vapor cooling agent inhalation study, which concludes that e-vapor products containing WS-23 have lower rewarding effects than pure nicotine products, a breakthrough, we believe, will support us to deliver better, safer experience for adult smokers. Turning now to our operations, alongside our efforts to comply with applicable regulations, we continue to streamline our business structure and operational workflow during the second quarter to enhance our agility and flexibility. Our approach has yielded good initial results with non-GAAP expense ratio decreasing quarter-over-quarter. Chao will elaborate on this further a bit later.  We believe that this comprehensive operational enhancement will enable us to neatly tackle critical changes and swiftly adapt to the market evolution. Both teams coach our immediate and long-term mutation fees.  In conclusion, we remain confident in the inherent potential of China's e-vapor market. We believe that as a trusted e-vapor brand for adult smokers, our leading technologies and scientific advancements, high-quality user base, resilient business model and a strong overall execution of our fundamental assets that will empower us to drive sustainable quality growth in the long run and further strengthen our leadership position in the industry. More importantly, we will continue to seek regulatory approvals to meet all applicable requirements on schedule, while developing qualified products to deliver superior performance, further enhancing operational efficiency and capturing the industry's growth opportunities ahead of us.  With that, I will now turn the call over to our CFO, Chao Lu. He will elaborate for the some of our last quarter's initiatives and go over our operational and financial results in more detail. Chao, please go ahead.
Chao Lu : Thank you, Kate, and hello everyone. I will now provide a summary overview of our financial results for the second quarter of 2022. In the context of a challenging macro environment and COVID resurgence, consumer sentiment slumped to a record low in the second quarter.  According to the National Bureau of Statistics of China, the overall consumer confidence index fell from 121.5% in January 2022 to 88.9% in June 2022. Also, overall retail sales in China decreased by 0.7% year-over-year in the first half of 2022. We are actively adapting our business to the market and diligently improving our operational efficiency, we delivered solid and healthy results for the second quarter, recording net revenue of RMB2.2 billion. However, we believe this elevated level of revenue in the second quarter was primarily due to front-loading of sales in the downstream value chain in anticipation of the discontinuation of our older products as the industry transition period nears its end in the third quarter.  Revenue decreased year-over-year. However, this was mainly due to the expansion of store expansion and new product launches during the regulatory transition period as we work to strictly comply with the relevant requirements. Our gross profit was approximately RMB1 billion in the second quarter with gross margin of 43.8% for the second quarter, compared with 45.1% in the same quarter of 2021. The decrease in gross margin was primarily due to unfavorable product mix shift, an increase in inventory provision and an impairment loss recognized for PP&E to comply with recent regulatory development.  Due to a significant increase in share-based compensation expenses to RMB193.2 million from a positive RMB172.5 million in the same quarter of last year, our operating expenses reached RMB530.9 million in the second quarter of 2022 compared with RMB176.2 million - sorry RMB167.2 million in the same period of last year. Specifically, our selling expenses decreased by 2.7% to RMB122.6 million in the second quarter of 2022 from RMB126 million in the same period of 2021, mainly driven by a decrease in salaries, welfare benefits and branding material expenses, while partially offset by an increase in share-based compensation expenses.  General and administrative expenses increased to RMB290.7 million in the second quarter of 2022 from RMB46.1 million in the same quarter of 2021, mainly driven by the increases in share-based compensation, salaries and welfare benefits. As we remain focused on strengthening our R&D capabilities, our research and development expenses were RMB117.6 million in the second quarter of 2022, compared with a positive RMB4.9 million in the same period of 2021. This increase was mainly driven by increases in share-based compensation expenses, salaries and welfare benefits and consulting expenses.  To echo what Kate mentioned about our business structure enhancements, our proactive cost optimization initiatives also continue to bear fruit this quarter. If we exclude share-based compensation, our non-GAAP expense ratio decreased to 15.1% in the second quarter from 20.9% in the prior quarter. Notably, non-GAAP selling expense ratio decreased to 4.7% in the second quarter from 6.9% in the preceding quarter. If we exclude the impact of one-off items such as impairment loss, our adjusted expense ratio was similar to that of the – similar to the level of the same period of last year.  We believe the adjusted metrics may better reflect our efforts and achievements with respect to operational improvement during the quarter. As a result, our non-GAAP net income increased to RMB634.7 million from RMB351.8 million in the prior quarter. Non-GAAP basic and diluted net income per ADS were RMB0.494 and RMB0.492 respectively in the second quarter 2022. Moving on to our balance sheet, we have a solid balance sheet. In particular, our cash position remains strong with cash and cash equivalents, restricted cash, short-term bank deposits, short-term investments and long-term bank deposits, net of RMB16.8 billion as of the end of June 2022, compared with RMB14.9 billion a year ago.  In addition, we generated a positive cash – operating cash flow of RMB1.4 billion with an increase in the operating cash flow over a non-GAAP net income ratio to 228% in the second quarter of 2022 from 100% in the same period of last year. Our strong cash position and sufficient operating cash flow, cash inflow enabled us to agilely adjust our business while facing challenges and support our efforts to capture potential growth opportunities in the industry. In light of the regulatory changes, we are off to a slow but steady start of the sales of our new products that are compliant with the national standards through the new transaction system mandated by the regulatory.  In closing, we believe that e-vapor products will continue playing a vital part in harm reduction for adult smokers in the new industry, new regulatory era. With our products’ superior quality and safety, our brand will continue to resonate well with adult smokers.  Moving forward, we will focus on cost optimization while continuing to reinforce our product competitiveness to create sustainable long-term growth for our shareholders. This concludes our prepared remarks today. We will now open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question comes from Lydia Ling from Citi. Please go ahead. 
Lydia Ling : Hi everyone. Thanks management and this is Lydia from Citibank and also for your presentation. And so here, I have three questions and the first one is that we actually started new – some of the new products have been introduced in selected regions. So we want to know what the user feedback so far and also as transition period and a few days later and so what your sort or new flavors’ impact on the sales volume in the following quarters? So this is the first question.  And the second question is actually, we saw that your – some of the retailers now may have some over three brands at the store level. So we want to know your view on the competitive landscape looking forward.  And the last question is, actually, we are now in September. So could you share with us the third quarter-to-date performance and also your outlook for the fourth quarter and 2023? Thank you.
Chao Lu : Thanks very much, Lydia. So, the first question is mainly on the sales volume of 43% and the second one is mainly on how the competitive landscape goes and the final one is on the outlook for the third quarter and further.  So regarding the first one is how it will impact after we launch the products that comply with the national standards as we just launched these product a few weeks ago. So to be honest, I think the vast majority of our users haven't had the chance to try our products. And given that we are still in the transition period, which will last till the September 30. It's difficult for us to give a quantitative guidance regard future quarters given that there are some products are still being approved at the moment. But when we look at the lessons and data, learned from the [Indiscernible] pattern in the United States back in 2020, it took a few quarters for users in the U.S. markets to adapt to the new flavors and we covered the industry volume. So there have been more and more products being approved in the past few weeks, which we believe could be launched very soon and could cater more existing users' needs. So we will have a more clear picture of our user demand change in the late 4Q after users have digest the flavor, inventories on hand.  And regarding the second question that there could be multiple brands selling in one single store going forward, so, in our view, the ultimate goal for retailers is to maximize their store productivity and their own profitability. In terms of selling only one brand in a single store, so retailers have to sell multiple brands under the new regime.  We don't expect any material impacts on the competitive landscape as retailers have always have the choice to select their recommended brand to collaborate. So we believe the brand share of the store should be determined by product quality, brand equity and user base. And based on our observations, our brand share remains steady in the past few months.  So in the future, we will continue to invest in strengthening our R&D capabilities and our non-GAAP R&D expense has been steadily increasing in the past quarters and we expect it to further increase in the coming quarters. With our increased efforts in R&D, we will continue to offer a better, safer experience for adult smokers. So the last question is on the fourth quarter outlook. As prepared in our opening remarks, our second quarter revenue benefited from the front-loading of sales in the downstream value chain in anticipation of the discontinuation of our older products as the industry transition period nears end in the third quarter. The resulting high base for comparison will impact our sequential third quarter results.  And meanwhile, we gradually decreased our shipments of old products throughout the third quarter to better continue into the new regime, which will affect our first quarter numbers. So given that the transition period will end on the September 30, it will take more time for us to better project the future outlook, especially for the fourth quarter. Thank you for your questions.
Lydia Ling : Thank you. 
Operator: Our next question comes from Charlie Chen from China Renaissance. Please go ahead. 
Charlie Chen : Thank you, management for taking my questions. I got two questions. The first one is regarding your product pipeline, especially the new products, which should be abided with the new regulations or new national standard. So what I want to ask is, what is the status of your new product application? In particular, how many has been approved? How many are still pending and also how many have been rejected if there is any? And what is your product portfolio plan for the coming year, for the next 12 months or so? So that's my first question. And my second question is about the schedule of your product recycling or I mean, reshuffling. I remember last time you said you plan to phase out your older products in the second quarter or third quarter. So I just want to know when exactly have you phased out or stopped producing old products, which is not abided by the national - new national standard. And when is the time when you have new products started production or started to sell to the markets. So that's my two questions.
Chao Lu : Thanks, Charlie. So the first one is mainly on the product approvals and the second one is on the old product results. So I mean, for the new regime, every new product must get approval before it launch and the application itself will be an ongoing process. So we will continue diversifying our product portfolio under the new regime and offer quality products for adult smokers.  As of today, we have received product approvals for low teens of devices and low teens of cardio products and some of our applications are still under review and we expect the number of our approved products will keep growing.  And regarding the second one is about the old product phase outs, we gradually slowed our pace in production throughout the third quarter with the master majority of our production occurring in the first half of third quarter. What it sounds products that comply with national standards, we began to participate in the testing of a transition platform this month. We have been received more approvals in the past few weeks and therefore we are still in the early stage of rolling out these new products.  Our current sales of these new products may not be accurately reflect our real use demand as our users still have access to our old products and these new products are just being approved very recently. So we will be able to provide more updates after the transition period. Thank you.
Charlie Chen : Thank you.
Operator: The next question comes from Peihang Lyu from CICC. Please go ahead. 
Peihang Lyu : Hi there, management. This is Peihang at CICC and thank you for the opportunity to take my questions. I have three questions actually. And the first one is, could you please introduce a bit about the current inventory levels of your original projects and will there be any further inventory impairment?  The second question is, I would like to know what are your recent adjustments after stores cannot be operated if closed? And my last one is, since the national e-cigarette online trading platform has been launched and I would like to know what is your latest progress with regard to the cooperation with tobacco administration and other indices? Thank you.
Chao Lu : Thank you, Peihang. So the first one is on the inventory level and also our inventory impairment practice and the second one is on the exclusivity terms that we previously have with our store owners and the final one is the latest developments regarding the transition platform.  So regarding the inventory level for our new products and requiring inventory impairments, there has been a gradual but steady start with our sales of our new products comply with national standards and also, our users will need more time to digest the inventories and adjust their user behaviors.  So the inventory level for new products is relatively low compared with the level that we have for older series before the transition period. And regarding the inventory positions, we have been recurring inventory provisions for our product that do not comply with new national standards and raw materials that are no longer applicable since the fourth quarter of 2021. We don't expect to incur more significant inventory provisions regarding product in compliance with national standards in the coming quarters.  And the second question is on the exclusivity terms that we have for our store owners previously. After the STMA announced the rule that the exclusive distribution agreements are not allowed for branded stores in March 2022, we began terminating our agreement with store owners and returning their deposits. So as of the end of second quarter, most of this work has been completed.  In our view the non-exclusivity will enable us to - efforts to source that previously carried out only other brands. In the future, brands with substantial brand equity and user mindshare I view that it still be favored by store owners and as such products will help them to improve their store productivity.  Based on our own observations, since the termination of the exclusivity many additional store owners have started selling x branded products.  And final one regarding the process that we have for the trading platform, so in this month beginning, several regions across the country have begun to pass the National transition platform. As a leader in China's e-vapor industry, we were pleased to be among the first few brands selected to participate. The transition process has been smooth and we are grateful for the support provided by the STMA. For instance, our staff has been offered trainings from research institutes, quality supervision, test standards and the technical help in cooperation by the STMA on the national standards. Thanks to their help and assistance, our new products were among the first batch of products in the industry to obtain approvals under the new regime. Thank you. 
Peihang Lyu : That’s very clear. Thank you very much. 
Operator: Due to time constraints now, I would like to turn the call back over to the company for closing remarks.
Sam Tsang : Thank you once again for joining us today. If you have further questions, please feel free to contact RLX Technologies' Investor Relations team through the contact information provided on our website or TPG Investor Relations. 
Operator: This concludes this conference call. You may now disconnect your line. Thank you.